Operator: Greetings, and welcome to the Black Rifle Coffee Company Third Quarter 2022 Earnings Call. [Operator Instructions]. I would now like to turn the call over to Tanner Doss, Vice President of Investor Relations. Thank you. You may begin.
Tanner Doss: Good morning, everyone. Thank you for joining Black Rifle Coffee Company's conference call to discuss our third quarter 2022 financial results, which we released this morning and can be found on our website at ir.blackriflecoffee.com. With me on the call today is Evan Hefer, Founder and CEO; Tom Davin, Co-CEO; Greg Iverson, our Chief Financial Officer; Toby Johnson, our Chief Operating Officer; and Heath Nielsen, our Chief Retail Officer.  Before we get started, I would like to remind you the company's safe harbor language, which I'm sure you're all familiar with. On today's call, management may make forward-looking statements, including guidance and underlying assumptions. Forward-looking statements are based on expectations that involve risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, please see our previous filings with the SEC. This call will also contain non-GAAP financial measures, such as adjusted EBITDA. Reconciliations of these non-GAAP measures to the most comparable GAAP measure are included in the earnings release furnished to the SEC, and they are also available on our investor website.  Now I'd like to turn the call over to Tom Davin, Co-CEO of Black Rifle Coffee Company. Tom?
Tom Davin: Thanks, Tanner, and good morning, everyone. Thanks for joining our third quarter 2022 earnings call. Today, I will update you on our key strategic initiatives that will continue to power our growth into 2023 and beyond. Evan Hefer will further address our entry into the food, drug and mass channel as well as discuss marketing strategy moving into the new year. And Greg Iverson will walk through our Q3 results and balance sheet.  As outlined during our last call, we have 3 key takeaways that summarize the Black Rifle Coffee Company business model. Number one, we are rapidly evolving from a pure play direct-to-consumer company to an omnichannel business model built on a digitally native foundation. Our entry into the food, drug and mass channel is a key piece of the puzzle in order to meet customers wherever they shop. Two, we are continuing to respond to a significant ready-to-drink coffee product demand by adding capacity and execution capability. Number three, Black Rifle Coffee continues to have a unique connection to our loyal and growing community.  Let me offer a bit more color on each of these key takeaways. Number one, we are rapidly evolving from a pure-play D2C company to an omnichannel business model built on a digitally native foundation. 3 years ago, we generated more than 90% of our revenue from our D2C business. As you can see from today's results, those numbers are changing rapidly as we take advantage of the ever-evolving landscape where consumers want to access their favorite brands wherever they are shopping. Over 66% of coffee drinkers only purchased their coffee for at-home consumption at retail, typically in the food, drug and mass channel. So in order to satisfy our customer, we needed to enter this channel. Further, with Black Rifle Coffee aided brand awareness at 20% or lower across the United States, entering the FDM channel where the majority of coffee is purchased for at-home consumption acts as a billboard for our brand such that we expect to further increase our brand awareness.  If you listen to our last earnings call in August, you will remember that we discussed our plans to launch into the FDM channel and promise to update you with more details during this Q3 conference call. We're excited to announce that we launched ground, whole Bean and K-Cup or rounds in Walmart in the early September time frame. We're now in 100% distribution across the Walmart footprint, which includes close to 4,400 stores as well as walmart.com. For those who filed the BRCC story for multiple years, you'll recall that we previously stated, we would only enter the FDM category with a retailer who could provide us with a high-quality presentation on shelf, where we would not be just a bagger to on the wall of coffee. We're incredibly excited to have started this collaboration. Why? Because America shops at Walmart with 90% of Americans living within 10 miles of Walmart store. And today, Americas coffee is available at Walmart. We are very selective about the opportunities where we mobilize the entire company behind it. And this was 1 where we knew we would have a fantastic opportunity for both our customers and the Black Rifle Coffee brand. Evan Hefer and our senior leaders are tremendously proud of our cross-functional business teams who rose to the challenge of meeting demanding time lines and execution requirements for our entry into this FDM channel. We are very pleased with the early results of our launch with Walmart, and we'll share more details as this collaboration progresses.  In order to get products in store and meet the expected volume of demand from the FDM customer base we contracted with several new outsourced coffee roasters who can both meet our quality standards and grow with us over time. This new roasting capability for ground, whole bean and K-Cup coffee provides Black Rifle Coffee Company with the ability to meet the demand as we accelerate growth. Number two, we are continuing to respond to significant ready-to-drink product demand by adding additional capacity and execution capability. BRCC's ready-to-drink product continues to be the fastest-growing single-serve RTD coffee across all channels of trade, outpacing the RTD coffee category growth by 4.5x. At the end of Q3, our ready-to-drink product is now sold in approximately 70,000 doors, up 99% from Q3 of last year. More importantly, our percentage ACV or all commodity volume as measured by Nielsen, which measures distribution across both convenience, gas, and FDM channels has increased to 42.3% from 13.6% at the beginning of 2022. Equally as important, our sell-through continues to perform at category-leading levels, as measured by units per door per week, BRCC's RTD beverage sell-through is up 8% since the beginning of the year, outpacing the category by double digits.  With this rapid growth, you'll recall from our Q2 call that we were in the process of qualifying additional co-manufacturers to meet our growing demand. I'm pleased to announce that both of our 2 new co manufacturers are now through the start-up phase and this more than triples our previous available annual capacity. We're very encouraged by the success to date with our rate of drink products consisting of 4 SKUs.  Looking to the future, we presented new products from our innovation pipeline last month at the convenience store trade show, NAX in Las Vegas. There is no doubt that innovation within the RTD coffee category will continue to drive growth. We presented 3 new core SKUs as well as 2 limited time seasonal offerings. Resets for 2023 are currently being planned, and we foresee expanding our shelf space as we move from 4 to 7 permanent SKUs and introduce additional LTOs. Enthusiasm from our current customers suppliers and others has us very excited about 2023 and 2024.  Number three, Black Rifle Coffee has a unique connection to our loyal and growing community. We are the only mission-driven lifestyle brand in the coffee industry. The mission is a major driver of our success and continues to bring new customers into the Black Rifle Coffee ecosystem. As we enter new markets or expand our presence in an existing market, we continue to see the community grow. This was evident in our first Phoenix, Arizona outpost grand opening in mid-October. We've long known Phoenix was a top market for Black ruffle Coffee based on our direct-to-consumer business. But we got to witness this fact at our first store within the Phoenix market. We had over 250 customers lined up at 05:30 in the morning on the day of our grand opening and there was a line out the door for much of the rest of the day. This enthusiasm continued for the remainder of the weekend, and this launch was 1 of our most successful store opening weekends yet. This couldn't have happened without the leadership of our retail team and our loyal community within the Phoenix market. We'll be back in the area in a few weeks to open our second outpost and we're looking forward to seeing the excitement for the Black Rifle Coffee Company continue as we build out our footprint in the Phoenix market.  Q4 update and guidance. Overall, we are pleased with our performance for the quarter. Our wholesale business delivered better than expectations and our D2C business held its own in a challenging market environment.  Before I turn the call over to Evan, I want to provide some transparency into start-up delays we had with our new co-manufacturers for a ready-to-drink product that will have a onetime impact on our fourth quarter revenue.  During our Q2 earnings call, we discussed the start-up of 2 new co-manufacturers. At that time, we had completed trial runs and we are excited to move into full production. We had 2 challenges in transitioning from trial runs into full production. That had a small impact in Q3 and will also have an impact in Q4. One of our new co-manufacturers had a production issue with on ready-to-drink SKU. The issue was not food safety related, but rather a situation where the product did not meet our demanding standards, such that we deem the product not salable. After an in-depth review with our co-manufacturing partner, the problem was identified as equipment related and after an equipment change, the issue has been fully resolved. The second challenge we had was in procuring raw materials to meet start-up time lines in order to produce our ready-to-drink beverages at our co-manufacturers. The delay in raw material deliveries caused our 2 new co-manufacturing partners to delay manufacturing and release of product from August until November. This raw material issue has also been resolved, and we're currently in full production across all contract manufacturers.  Since we launched our rate drink products in 2020, we've been fortunate that demand has far exceeded supply. The downside of such robust demand is that we've not been able to build up an adequate level of safety stock. So when manufacturing delays occur, like we had in the quarter, it directly impacts sales since we did not have inventory on hand to cover production delays. The new capacity we have contracted will also enable Black Rifle Coffee to operate with safety stock levels that help mitigate any further supply chain challenges. Due to these 2 ready-to-drink production issues, we are bringing down our Q4 revenue target to a range of $90 million to $95 million. Approximately 1/3 of this adjustment is due to the equipment-related production issue and 2/3 of the adjustment is due to production delays resulting from raw material issues. I am pleased to share that we are through both issues. Today, we are fully manufacturing, shipping ready-to-drink product on schedule. Further, the startup of these 2 co-manufacturers will enable enough capacity to meet our 2023 forecast, including a buildup of safety stock. Note that we will not need to start up any additional co-manufacturers to meet our 2023 forecast.  With that, I'll now turn the call over to our CEO and Founder, Evan Hefer. Evan?
Evan Hefer: Thanks, Tom, and good morning, everyone. Thanks again for joining us on our third quarter 2022 earnings call. As Tom mentioned, I wanted to give a bit of background on our decision to enter the FDM space and why we chose to collaborate with Walmart as well as give you a quick update on the marketing and branding side of the house. First and foremost, we're very grateful for our collaboration we have with Walmart. This couldn't have been done without a tremendous amount of work from our team here at Black Rifle Coffee. I think almost every department at Black Rifle Coffee had a hand in getting this across the finish line. from our internal art department mocking up bags in less than a week to our supply chain team working across the globe to find the product. Most of us at Black Rifle Coffee are used to dealing with tight time lines, pressure field situations while we are in the military. So when we gave this time line, everyone put their heads down and got to work. I can't thank our team enough. And I know that when we see this product on the shelves of Walmart, they have just as much pride as I do in getting this across the finish line.  To help put the size of this FDM opportunity in perspective, the at-home coffee market is roughly 40% of the overall coffee market or $18 billion plus of the total addressable market and $11 billion plus within our Black Rifle Coffee serviceable addressable market. To date, we have served the at-home segment primarily through the D2C channel. Here is some additional information that will help explain why we're so excited.  4% of coffee purchases for at-home consumption are bought solely online. 30% of households are using the omnichannel approach of buying in-store as well as online. The remaining 66% of individuals are only buying their coffee in store by moving into the FDM channel, we will unlock a huge incremental opportunity to get Black Rifle Coffee into the hands of our customers, both new and existing, related, we have a massive brand awareness opportunity with aided branded awareness currently below 20% around the U.S. Entry into FDM market done correctly with the right partners will boost brand awareness, contribute significant incremental revenue and be margin accretive and as we will ship full truckloads of coffee to stores as opposed to 1 to 4 bags to individual homes.  As Tom mentioned, over 90% of the households live within 10 miles of a Walmart store. As we surveyed our subscriber base on their current shopping habits, we learned that our customers are purchasing additional coffee in their weekly grocery runs on top of their Black Rifle Coffee subscription. The main reason is it was available where they were shopping. Our entire omnichannel strategy is predicated on the ability of our customers to purchase our products wherever they shop. When we saw the data, we knew in order to better serve our customers we needed to have our products on the shelves within the FDM channel. As you can see, this is a huge opportunity for BRCC, and we couldn't be happier to collaborate with Walmart on our initial launch into FDM, as Walmart says, America shops at Walmart. And now they can buy America's Coffee in Walmart. We're also using our FDM channel to stay true to our mission in helping veterans first responders, active duty military and their families by donating a portion of our coffee sales to veteran and first responder charities. I'm excited to announce to date that we've already raised over $150,000, and we'll be donating it to various charities that align with our mission.  Finally, we wanted to briefly touch on the marketing portion of our business. As I have mentioned previously, our marketing spend has continued to shift from paid media to owned media in our strategy. As you can see from our financials this quarter, our marketing spend was light on a revenue percentage basis. While our continued focus on the wholesale channel has helped, we do foresee our marketing spend to increase as we move into 1 of our busiest quarters of the year. We just launched our Travis Pastrana final send video and our Jim Conner video will be launching earlier in December. We'll also be seeing an increased marketing spend for the holiday portions of our Black Rifle Coffee sales. Whether you're seeing us on the shelf at Walmart or on the Jumbotron of the AT&T Stadium or at your local convenience stores, our brand awareness is continuing to grow. We are still confident in our transition of our marketing dollars and plan on seeing leverage on the marketing line as we continue our impressive growth trajectory into 2023.  With that, I'll pass it over to Greg to dive into the quarter and provide guidance. Greg?
Gregory Iverson: Thanks, Evan, and good morning, everyone. Today, I will expand on the update that Tom provided on our third quarter results and provide a brief update on our balance sheet and liquidity before we open the call to your questions.  In the discussion of our third quarter financial results, I will be providing both GAAP and non-GAAP results, which exclude the impact of the RTD production issue that Tom mentioned earlier in the call. We're providing the non-GAAP results because we believe they are a better indication of our overall business performance.  Beginning with revenue. For the third quarter, total revenue increased 26% to $75.5 million compared to $60.1 million in Q3 of last year. Excluding the $600,000 adjustment to revenue for the RTD production issue, total revenue increased 27% from a year ago to $76.1 million. The meaningful increase in revenue was driven primarily by our entry into the FDM channel and expansion of our RTD product in our wholesale channel.  Now I will give some additional details on our 3 sales channels. First, our direct-to-consumer revenue grew 2% to $38.1 million compared to $37.5 million in Q3 of last year. This increase was primarily due to an increase in pricing on bag coffee partially offset by continued lower sales volumes from nonsubscription customers. We entered the quarter with 278,000 subscribers representing growth of 1.7% over Q3 of last year but a decline of 3.4% sequentially from the end of Q2. The small decline in subscribers from Q2 was a result of our decision to redirect investments to other faster-growing areas of the business as we continue to experience elevated D2C customer acquisition costs.  Turning to our wholesale channel. Revenue increased 66% to $32.2 million in Q3 compared to $19.5 million during the prior year period. Excluding the effects of the RTD production issue, wholesale revenue grew 69% to $32.8 million. The increase was primarily driven by our entry into the FDM wholesale channel with an initial load-in order during September. In addition, RTD doors increased to nearly 70,000, almost doubling from a year ago. Internally, we measure the growth of our RTD business on a percent ACV, which can generally be thought of as the percentage of stores selling our products. Currently, our percent ACV is sitting at 42.3% and up from 13.4% at the start of 2022.  While I'd note, our distribution from a percent ACV perspective has increased dramatically with further room to expand we are still broadly undersupplied at our existing retail partner locations. We believe there is significant opportunity to both expand distribution points and increase the velocity's SKU breadth and facings at existing partner locations. Moving to our Outpost channel. Revenue increased 65% to $5.2 million in Q3 compared to $3.1 million in Q3 of last year. This was primarily due to an increase in the number of company-owned outposts, which grew to 11 outposts as of the end of Q3 with the opening of our first store in the Phoenix, Arizona Metro area.  Turning now to profitability. Our Q3 margin was 31.7%, decreasing 830 basis points from 40% in Q3 of last year. Excluding the $3.4 million impact from the RTD production issue, our Q3 gross margin was 36%, an approximate 400 basis point decrease from the prior year period. This decrease was driven by higher product costs, including increases in green coffee and RTD ingredients as well as a continued shift in our product mix as our RTD has a higher product cost and lower gross margin as compared to rounds and ground and whole bean coffee. Importantly, our Q3 gross margin, excluding the charge from the RTD production issue, increased approximately 190 basis points on a sequential basis from Q2 as a result of our productivity and pricing initiatives and the load in order for FDM.  As we mentioned on our last call, our entry into FDM is immediately margin accretive and based on the significant efficiencies from shipping bag coffee and rounds by the truckload rather than individual parcel in our D2C channel.  Turning to our operating expenses. We continue to make critical investments to support our growth. As such, our operating expenses during Q3 increased by approximately 45% to $39.6 million as compared to $27.2 million last year. I will quickly walk through the drivers of these expenses beginning with marketing and advertising. For the third quarter of 2022, marketing expenses decreased by 24% to $7.4 million from $9.8 million in the prior year period. As a percentage of sales, marketing decreased to 9.8% or by 650 basis points compared to the same quarter last year. The decrease in expense as a percentage of revenue was driven by reductions in lower-yielding advertising spend as well as growth in our wholesale and outpost channels, which require lower marketing spend than D2C.  As Evan mentioned in his remarks, we will see an uptick in our Q4 marketing spend as compared to Q3 as we have 2 large activations planned for the quarter as well as our increased marketing spend during the holiday shopping season. Next, salaries, wages and benefits increased 50% to $15.8 million from $10.5 million in the third quarter of 2021. As a percentage of revenue, they increased by 350 basis points to 21% compared to 17.5% in Q3 of last year. The increase was primarily driven by increased employee headcount to support our significant sales growth especially investments in key positions to support the growth of our wholesale and outpost channels. Within wholesale, we've made significant additions to our internal sales teams as well as additional leadership hires for our coffee entry into the FDM channel. Furthermore, as I mentioned last quarter, a large portion of our outpost cost structure is included in the salaries, wages and benefits line as we typically bring on 35 to 40 new employees for each outpost opening. As we build our Outpost business, you will continue to see growth in salaries, wages and benefits.  Finally, G&A expenses increased $9.4 million or 137% to $16.3 million compared to $6.9 million in the third quarter of 2021. As a percentage of revenue, G&A increased to 21.6% of revenue compared to 11.5% last year. This increase was primarily driven by increased consulting and other professional services needed to support the rapid growth of our business across multiple sales channels and the transition to operating as a public company. We also had 11 company-owned outposts in 2022 versus 4 in 2021 and the incremental lease and other occupancy costs for these outposts also contributed to the increase.  While these investments in G&A over the past several quarters have been significant, we will begin to see meaningful leverage on our G&A as we quickly scale revenues for our wholesale and outpost channels, while the pace of G&A growth moderates. In addition to the GAAP measures I've discussed, adjusted EBITDA is an important profitability measure that we use internally to manage our business. For the third quarter of 2022, adjusted EBITDA was a loss of $5.3 million versus positive adjusted EBITDA of $146,000 a year ago. This increased loss was primarily due to the increased operating expenses incurred in advance of the revenue we expect from those investments as well as lower margins from inflationary pressures and product mix shifts that were not fully offset by our productivity and pricing initiatives.  While our adjusted EBITDA was negative for the quarter, we generated positive adjusted EBITDA during the month of September, which was the month we delivered the initial load-in for FDM. We wouldn't normally talk about an individual month within a quarter, but we believe it's an important data point and a significant benefit of our move into FDM. Now we are not forecasting to be adjusted EBITDA positive in the fourth quarter but we're making great progress on our path to profitability.  Looking forward to 2023, we remain optimistic with the 2023 revenue forecast of $500 million and adjusted EBITDA margin of low to mid-single digits that we mentioned on our last earnings call. We look forward to sharing our 2023 outlook in more detail with you when we report our fourth quarter results.  Now I'll briefly walk through our balance sheet for the third quarter of 2022. Our balance sheet remains strong with $71.2 million of cash and cash equivalents as of quarter end compared to $18.3 million as of December 31, 2021. At September 30, we had $31.5 million of long-term debt compared with $22.7 million as of December 31, 2021. I'm also pleased to share that we recently entered into a new senior credit facility with our long-time banking partner, Regions Bank. As we've mentioned, our primary use of capital near term is our investment in inventory and receivables that are needed to support the growth of our wholesale channel at an incredibly rapid pace. This new credit facility includes a $65 million revolving loan facility that gives us the flexibility we need to ensure we maintain plenty of liquidity while we rapidly expand our business to address the strong customer demand for our brand.  I will now turn the call back over to Tom.
Tom Davin: I trust you can sense our excitement for the future. To recap the 3 key takeaways for this call: Number one, we are rapidly evolving from a pure-play D2C company to an omnichannel business model built on a digitally native foundation. Our entry into the FDM segment is a key piece of the puzzle in order to meet our customers wherever they shop; Number two, we are continuing to respond to significant ready-to-drink product demand by adding capacity and execution capability; Number three, Black Rifle Coffee is a unique connection to our loyal and growing community.  With that, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions]. Our first question has come from the line of George Kelly with Roth Capital Partners.
George Kelly: So first one for you, just has to do with this year's guidance, the cut there, the $20 million. Wondering you may have sort of detailed or quantified exactly where that's coming from. I think most of it's RTD, but could you just specify exactly what that is?
Gregory Iverson: Sure, George, it's Greg Iverson. Happy to do that. And it was -- included our remarks, but just reiterating, it relates entirely to the RTD products line, and there's really 2 factors. One is we mentioned a production issue where we have some products that we ultimately decided we're not going to sell. And then we also had a delay in -- from a supply chain perspective and products getting to our new co-mans that delayed those start-ups. We said that of the reduction in our outlook for Q4, about 1/3 of it was related to the product manufacturing issue and then about 2/3 related to getting the ingredients to the co-mans.
George Kelly: Okay. Okay. Excellent. And then second question, another 1 on RTD, but I believe you said in your prepared remarks that you now have Three with these 2 additional partners, you now have 3x the capacity that you had before? And so were you able to secure -- I believe that to step up from where you were prior. So were you able to secure additional capacity within those 2? Or are there planned additional partners kind of down the road that gets you to that 3x?
Toby Johnson: George, it's Toby. So the additional capacity that we talked about is with our original co-man partner plus the additional 2 that we've signed on. So we've completed the startup phase with those 2 incremental comments and the tripling of the capacity is just taking that run rate of that additional capacity and annualizing it into 2023. So we feel good about the fact that we are through that start-up phase, and we have enough capacity without having to do any additional startups in 2023.
George Kelly: Okay. Okay. And then last question for me is about the Walmart launch. I know it's early, but can you talk about what you've seen in your D2C business since you launched? And has there been any kind of noticeable change either uptake or down to cannibalization that you've noticed?
Tom Davin: George, Tom Davin here. Thanks for the question. We have not. So obviously, shopping at Walmart is a different occasion than somebody buying online. And we've been very pleased that not only are we doing at Walmart but our churn has stayed very constant in the direct-to-consumer business.
Operator: Our next questions come from the line of Michael Baker with D.A. Davidson.
Michael Baker: Okay. Also a question on the Walmart initiative, which I think is the big news of the day. Yes, it's early, we get that. But any initial POS data sell-through, et cetera?
Toby Johnson: So our initial velocities are at or slightly above what we had projected. We are relatively new in the distribution, but we're really excited about the performance out of the gates. One, from a consumer standpoint, the feedback from our consumers has been strong. there's about 30 million people a day that go into a Walmart and they seem to be really happy as they go down the coffee aisle and find Black rifle on the shelf. We've also looked at it from a competitive standpoint at our initial entry into Walmart. We're about a 2.4 share of the overall coffee category in Walmart based on the data. And we're looking versus the competition. I think we mentioned in our prepared remarks. For the last 4 weeks, we've passed some established copy brands in our size, including Pets and death wish and continue to grow as we add in new SKUs, et cetera, with our full rollout plan. So we're anticipating that growth to continue to build, and we are really excited about the collaboration with Walmart.
Michael Baker: All right. That's helpful. And that sort of is a good segue into my next question. That $500 million plan next year, what is that sort of -- what are you embedding in there in terms of the rollout to Walmart? I mean, is that sort of like maxing out at Walmart full capacity? Or is that still early in the rollout, likened what could that $500 million eventually be as you grow with Walmart?
Gregory Iverson: Yes, Michael, it's Greg Iverson. So if you remember on our earnings call last quarter, we said that across the entirety of the wholesale channel, expect that to comprise more than 60% of our revenues. And so that still is absolutely true. In terms of the 2 big growth opportunities, Walmart and the FDM channel broadly is definitely 1 of the big opportunities and RTD is a big opportunity as well. And so we have some information in terms of what this initial rollout looks like. Toby just gave the update in terms of where we're at today in terms of share. We certainly see the opportunity as well as our partner sees the opportunity for us to continue to gain share. So it will continue to ramp up in each of the quarters. I don't know that we'd ever stay at a point where we've fully penetrated within Walmart. We see a lot of opportunity to continue to grow our brand presence within their footprint.
Michael Baker: Well, so I guess not to [indiscernible] maybe let me ask 1 other way. What -- so the share right now is 2.4%, what share is embedded in that $500 million? Is that something you've quantified or willing to share?
Gregory Iverson: It's something we've quantified is something we think about and work through something we certainly discussed with them, but no, it's not something we're guiding to.
Operator: [Operator Instructions]. Our next questions come from the line of Bill Chappell with Truist Securities.
Bill Chappell: This is Stephen Lang on for Bill Chappell. Can you maybe talk about what you're seeing in direct-to-consumer sales? It seems like the channels kind of continued to gain a fairly substantial amount of subscribers, but the revenues are kind of only slightly up. But can you provide some further color on if there's some shift in spending or maybe something else that we're not seeing?
Tom Davin: Yes. I would say -- and again, this is Tom Davin, so thanks for the question. In the direct-to-consumer subscriber side of the business, we're seeing that as very steady. There's a slight decline versus sequential Q2 numbers on the subscriber side and a little softness in the non-sub business on D2C but overall, very steady versus prior quarter in the prior year.
Evan Hefer: Yes. And I think that, that mainly -- this is Evan, by the way. I think what that mainly constitutes is we've had to shift the way that we're spending marketing dollars to a more omnichannel spend perspective. So we're not allocating 90% of our marketing budget to a D2C marketing plan. So as we start to look at how we market our product as we expand into different channels, we've got to diversify our marketing spend, which obviously will deemphasize some of the channels that's just kind of a low math, I guess.
Bill Chappell: And then just a quick clarification. I see inventories are kind of up almost like 50% since the end of June. Is this kind of getting ahead of the holiday selling period? Or can you kind of talk about more what that build looks like?
Gregory Iverson: Sure, Steve. It's Greg Iverson Happy to do that. The building inventory really relates to the ready-to-drink product. And so as we mentioned on our last call, with this emphasis in the wholesale channel, our primary use of capital near term is for us to build out inventories and then ultimately receivables to support the rapid growth across both the ready-to-drink product as well as the food, drug and mass channel. With the new co-mans that we brought on and Toby addressed just a moment ago in terms of the capacity, but we've built up a lot of raw material ingredient inventory to support the growth in that channel. So it's something that we've planned on. It's a big part of the reason why, as you probably also saw that this morning, we announced a new $65 million senior credit facility that allow us to continue to fund that working capital build.
Operator: Our next questions come from the line of Matt Curtis with William Blair.
Matt Curtis: I guess a question on Outpost. I mean, obviously, the stores are still opening very strongly. But now that to while since you've begun opening out post. I'm just wondering what you can tell us about what the maturity curve of sales volumes looks like. I mean, are you seeing a significant honeymoon bulge that then sells into a more consistent sales volume. Just anything you could tell us would be helpful.
Tom Davin: Heath Nielsen, you want to take that one?
Heath Nielsen: Yes. It's Heath Nielsen. So I think in any natural retail opening, you will see that. What we've been very pleased to see is how our average transaction has continued to hold very, very strong. And with the addition of specific LTOs that we've had, and we just most recently launched our [indiscernible] and pay that we've been able to continue to gain traction within the retail outpost.
Matt Curtis: Okay. Great. And then I guess just getting back to the sales guidance for the fourth quarter. I guess I'm still just surprised by the magnitude of the adjustment I mean, is there anything you can tell us to help us be reconcile exactly what is driving the reduction or the magnitude of the reduction, I mean?
Tom Davin: Well, I think we tried to lay out in our script and then reiterated it here just a moment ago, but there's 2 factors. So the first was this manufacturing issue. And we said that was about 1/3 of the total reduction in our outlook. And I think a big part of it is just there's -- as we mentioned before, there's incredible demand for our ready-to-drink product. And we've historically been very capacity constrained. It's been such a critical initiative for us to get these new co-manufacturers and expand the capacity. We launched those initial test runs and then went through all the QA process and then went into production. And unfortunately, we have this production issue with 1 of those co-mans where we had to -- or issuance we had to, we made the decision voluntarily to pull the product. And so it's just simply the size of those production runs are large. And so the effect of pulling 1 of those has a big impact on the quarter. And then similarly, too, when Toby just shared the amount we've added to our capacity, which is a -- it's a big, big increase. And so as you appreciate, a delay in those production runs has a big impact on the quarter. The important thing for us is we resolved both. So we're now shipping full production runs from both co-manufacturers. And so while it had a meaningful impact on the third quarter and a bigger impact on the fourth quarter, these are things that we've resolved and won't be impacting 2023.
Matt Curtis: Okay. Got it. And then, I guess, the last question for me. It sounds like you're still making a lot of progress on the product innovation front. Can you tell us how many new SKUs you plan to launch next year, if you've decided that yet? Maybe it makes more sense to talk about that by channel.
Toby Johnson: So I'll hop in on RTD, in particular. And we're really excited. We brought our innovation to NAX in early October to interface with our distributors, customers directly. We have samples of everything that we're planning to launch in 2023. And this is the first time we're bringing news to the category. We are focused on growth and being agile as a company, but we're also disciplined where we need to be. And in the case of RTD, we've been focused on our 4 core SKUs. But as we unlock our capacity, we can bring news to the category. So in addition to those 4 SKUs, we are adding permanent SKUs to the lineup. Those will launch in Q1 and be available for all the resets that are taking place. One is a 15-ounce SKU of vanilla. We also have an 11-ounce SKU of salted caramel and a highly incremental SKU 6.5 ounce that we're really excited to complement the portfolio with. We additionally shared a couple of limited time offers, 1 for the summer, a very white and blue very patriotic and highlights what we stand for as a company and then a fall Pumpkin Spice LTO. The feedback was incredible. We're taking orders and beginning production on the permanent SKUs right now. so that we can add those to our reset windows in the first half. And across the rest of the portfolio, I mean, innovation is part of our DNA. We launched a new ECS coffee every month. That will continue. We're looking at channel innovation as we continue our expansion, and we'll continue to innovate across the portfolio to drive growth and excitement for our consumers.
Tom Davin: The retail post innovation has a lot to do with the cold beverage platform. We talked about our penetration of cold beverages being in the mid-30s. So for Heath and the retail team driving that up is a huge priority. Plus we have seasonal LTOs. We've got several in the market right now, the retail output. So that is all going well.
Operator: [Operator Instructions]. Our next questions come from the line of Michael Baker with D.A. Davidson.
Michael Baker: Just a quick follow-up as it relates to the fourth quarter. One, you keep talking about -- I guess, what was the plan for the fourth quarter? Do we just take the full year guidance of $321 million and subtract year-to-date and was that the original plan? And I guess implicit in that is that the $76 million roughly in the third quarter was in line with your plan? And then a follow-up, any color on how to think about the EBITDA in the fourth quarter, given the lower sales?
Tom Davin: Yes. Yes, Mike. So with regard to Q3, Q3 came in pretty much in line with what we were expecting to see. If you remember, last quarter in our outlook, we talked about a full year number, but then we referenced, expect about 60% or more of the revenue to fall in the fourth quarter. So based on that math, you can see we came in, in Q3 right in line with that expectation. So you're absolutely right. It's if you take the fourth quarter guidance versus the 9-month year-to-date, that's what we're guiding to for the full year.  And then in answer to the second part of your question, from a Q4 profitability perspective, starting first with Q3, we had a relatively strong Q3 quarter from a profitability perspective. You can see we had a step-up sequentially in our gross margin, we had a meaningful step-up sequentially in our adjusted EBITDA. From a Q4 perspective, there's a couple of things that are important from a seasonal perspective. So number 1 is we do run more promotions and discounts within our D2C channel during the peak holiday shopping season. And so that historically has a meaningful impact on our gross margin. So bringing Q4 margins down lower than Q3. From a pricing perspective, we had a nice lift in Q3 related to pricing. We don't have any significant incremental pricing actions that are built into the fourth quarter. And the last thing I'll mention is our marketing spend is also more significant in the fourth quarter. Evan mentioned earlier today, we have a couple of significant activations in the fourth quarter but then we'll also be spending a little bit more to drive traffic to the sites related to, like I said, this peak holiday shopping season. So netting all that out, expect adjusted EBITDA not to be at the same level as we had in Q3. So somewhere between where we were in Q2 and Q3.
Operator: Thank you. There are no further questions at this time. I would now like to hand the call back over to Tom Davin for any closing comments.
Tom Davin: Thank you very much. And so we're pleased to report the third quarter and we're charging hard into the fourth quarter. Thank you, everyone, for joining the call, and we'll see you out in the marketplace.
Operator: This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.